Operator: Good afternoon, ladies and gentlemen. Thank you for standing by. Welcome to the High Liner Foods Incorporated Conference Call for Results of the Fourth Quarter of 2020. [Operator Instructions]. I would now like to turn the call over to Charlene Milner, Vice President of Finance for High Liner Foods. Ms. Milner, please go ahead.
Charlene Milner: Good afternoon, everyone. Thank you for joining the High Liner Foods conference call today to discuss our financial results for the fourth quarter of 2020. On the call from High Liner Foods are Rod Hepponstall, President and Chief Executive Officer, from our office in Portsmouth, New Hampshire; and Paul Jewer, Executive Vice President and Chief Financial Officer from our office in Halifax, Nova Scotia. In a moment, I'll pass the call over to Rod for some remarks on our performance in the fourth quarter and the ongoing impact of COVID-19 on our business, before handing over to Paul, who will review the financial performance for the fourth quarter. Rod will then make some final remarks before opening the call up for questions. I would like to remind listeners that we use certain non-IFRS measures and ratios when discussing our financial results as we believe these are useful in assessing the company's financial performance. These measures are fully described and reconciled to IFRS measures in our MD&A. Listeners are also reminded that certain statements made on today's call may be forward-looking statements that are subject to risks and uncertainties. Management may use forward-looking statements when discussing the company's strategy and business in the future. Actual operating or [Technical Difficulty] results could differ materially from those anticipated in these forward-looking statements. High Liner Foods includes a thorough discussion of the risk factors that can cause its anticipated outcomes to differ from actual outcomes in its publicly available disclosure documents, particularly in its annual report and annual information form. Please note that High Liner Foods is under no obligation to update any forward-looking statements discussed today. Earlier today, High Liner Foods reported its financial results for the fourth quarter ended January 2, 2021, that news release, along with the company's MD&A and audited consolidated financial statements for fiscal 2020 have been filed on SEDAR and can also be found in the Investor section of the High Liner's website. If you'd like to receive our news releases in the future, please visit the company's website to register. Lastly, please note that the company reports its financial results in U.S. dollars, and therefore, the results we discuss today are also stated in U.S. dollars unless otherwise noted. High Liner Foods' common shares trade on the Toronto Stock Exchange and are quoted in Canadian dollars. I will now turn the call over to Rod for his opening remarks.
Rodney Hepponstall: Thank you, Charlene, and good afternoon, everyone. Thanks for joining us today to discuss our financial results for the fourth quarter of 2020. I'm pleased to report that the fourth quarter was another quarter of improved financial performance for High Liner Foods and provided a very strong finish to our fiscal year. In particular, we are proud to have met our goal of delivering year-over-year adjusted EBITDA growth of $8.2 million or 10.3% after normalizing the fiscal 2019 adjusted EBITDA results for the $5.5 million recovery received from the ingredient supplier in 2019. We delivered the strong adjusted EBITDA growth, while we prioritize the health and safety of our employees, delivered on our retail and foodservice customers' rapidly changing expectations and executed on our strategy and drove continuous improvement in our business. We demonstrated the resilience of business and frankly, how well we can perform under pressure and rise to the challenge. In the past year, our people stepped up, showing us that we have the best in the business at High Liner Foods. We are incredibly grateful for their focus and dedication. Based on our financial performance in the fourth quarter, demand for our frozen seafood in our retail business continues to be very strong in both Canada and the U.S. We are driving market growth and growing volume. We continue to deliver excellent product fill rates recognized by our customers, and we are successfully capitalizing on consumers' desire to recreate restaurant seafood experiences at home and have affordable nutritious protein on hand for delicious meals, which is helping us to drive sales growth of our overall more profitable branded value-added products. Our foodservice business is holding up well, considering the extremely challenging circumstances in the industry. We are focused on supporting our operators with ready to prepare frozen products. We believe that the opportunity for suppliers who support restaurants when restrictions are listed will be significant. We believe there is pent-up demand to enjoy seafood in restaurants, and we are acting now to ensure that we are first in line to capitalize on this rebound. The strength and resiliency of our supply chain continues to make a significant impact on our performance. Reliability of our supply chain continues to be the top priority for retail foodservice customers alike, and we continue to deliver excellent customer service levels. From a financial perspective, we have managed our working capital effectively and significantly improved our cash flow. We reduced our debt and improved our leverage ratio, achieving our long-term target of 3x. And we are heading into fiscal 2021 with a strong balance sheet. It's a great springboard for the year and one that we intend to build on in the months ahead through further efficiency gains, careful inventory management, supply chain excellence and consumer engagement. I'll be back shortly to share some of our exciting plans to invest in our business and position High Liner Foods to become the leader in branded value-added seafood across North America and deliver a third consecutive year of adjusted EBITDA growth. But first, I will hand the call over to Paul to walk us through our financial performance for the fourth quarter. Paul, over to you.
Paul Jewer: Thank you, Rod, and good afternoon, everyone. Please note that all comparisons provided during my financial review of the fourth quarter of 2020 are relative to the fourth quarter of 2019, unless otherwise noted. Sales volume decreased in the fourth quarter by 100,000 pounds to 59.6 million pounds. In our foodservice businesses, sales volume continued to be lower due to the impact of COVID-19 on our foodservice customers. In our retail business, sales volume continued to be higher due to the increased demand related to COVID-19. Partially offset by lost business in the fourth quarter of fiscal 2019 that continued to impact volume year-over-year. The decline in sales volume was partially offset by the additional week in the fourth quarter of fiscal 2020, new business and new product sales. Sales in U.S. dollars decreased in the fourth quarter by $23.2 million to $198.4 million due to lower volume already discussed as well as a change in sales mix. Gross profit decreased in the fourth quarter by $1 million to $43.5 million. However, gross profit as a percentage of sales increased by 180 basis points to 21.9% compared to 20.1%. Gross profit reflects the lower sales volume previously discussed, partially offset by favorable changes in product mix, leading to the improved gross profit percentage as a percentage of sales. Adjusted EBITDA increased in the fourth quarter by $2.4 million to $21.2 million. And adjusted EBITDA as a percentage of sales increased by 220 basis points to 10.7% compared to 8.5%. The increase in adjusted EBITDA reflects a decrease in net SG&A expenses, partially offset by the decrease in gross profit discussed previously. Reported net income increased in the fourth quarter by $10.4 million to $7.4 million. And diluted earnings per share increased by $0.30 to $0.21. The increase in net income reflects the increase in adjusted EBITDA discussed previously, a decrease in business acquisition, integration and other expense and a decrease in finance costs. Primarily due to the recognition in the fourth quarter of 2019 of a loss on the modification of debt related to the debt refinancing completed in October 2019. This was partially offset by an increase in share-based compensation expense and an increase in income tax expense. Excluding the impact of certain nonroutine or noncash expenses, which are explained in our MD&A, adjusted net income in the fourth quarter of 2020 increased by $4.6 million or 80.7% to $10.3 million compared to $5.7 million in 2019, and correspondingly, adjusted diluted earnings per share increased by $0.12 to $0.29. Turning now to cash flows from operations and the balance sheet. Net cash flows provided by operating activities in the fourth quarter of 2020 increased by $46.4 million to an inflow of $22.3 million compared to an outflow of $24.1 million in the same period in 2019, primarily reflecting favorable changes in net noncash working capital and higher cash flow from operations, partially offset by higher income taxes paid. The favorable changes in net noncash working capital are the result of favorable changes in accounts receivable, inventories and accounts payable and accrued liabilities. Net debt at the end of 2021 decreased by $78.6 million to $268 million compared to $346.6 million at the end of fiscal 2019, reflecting repayments of long-term debt during fiscal 2020, a decrease in current bank loans and a higher cash on hand balance. This was partially offset by higher lease liabilities in 2020 as compared to 2019. Net debt-to-adjusted EBITDA was 3x at January 2, 2021, compared to 3.3x at September 26, 2020, and at 4.1x at the end of fiscal 2019. In the absence of any major acquisitions or unplanned capital expenditures in 2021, we expect this ratio will further improve by the end of fiscal 2021. We remain confident in our liquidity position as a result of prudent cash management and the early refinancing of our debt in Q4 2019. We do not have any impending debt maturities. And we'll continue to utilize our $150 million working capital credit facility, if required. The current - company currently has no borrowings on this facility. That concludes my financial review, and I will now turn the call back over to Rod for some final remarks before opening the call to questions.
Rodney Hepponstall: Thank you, Paul. Many of you on the line today have followed High Liner Foods for some time. You have been with us on this incredible journey over the past 3 years as we have integrated our Canadian and U.S. businesses into one HLF, optimized our supply chain to drive significant efficiency gains, focused our product portfolio on higher-margin products, launched industry leading innovation, new products and created a new seafood snacking category, increased gross profit as a percentage of sales by 360 basis points to 21.5% in fiscal 2020, compared to fiscal 2018; increased adjusted EBITDA as a percentage of sales by 460 basis points to 10.6% in fiscal 2020, compared to fiscal 2018 and strengthened our balance sheet such that we can navigate through COVID-19 pandemic and invest in our business while improving shareholder returns. I'm confident that in the coming quarters, I'll be able to update you on the following: our progress to further leverage our entire portfolio to grow our higher-margin branded value-added business, the results and traction from significant incremental investments in consumer marketing that we believe will continue to deepen our relationship with our consumers, help penetrate and disrupt the U.S. frozen seafood category and capture the repeat business from the 0.5 million new customers that have entered the frozen seafood category in the past year, further penetration of our new branded value-added products as well as new product innovations in the pipeline that are ready to go; success supporting our foodservice customers through the recovery who are seeking the reliability of supply and on-trend value-added products; ongoing improvements across the business, driving efficiencies and an overall elevated work environment through our commitment to foster a high-performance, purpose-driven culture; an enhanced and involved - evolved approach to employee, environmental, social and governance initiatives that build on our strong history and leadership in sustainability; and ultimately, our progress towards becoming the leader in branded value-added seafood in North America. The opportunity to grow High Liner Foods is significant, and one we are ready to pursue growth in a much more strategic and aggressive manner than in recent history. In 2021, we will support this with approximately $20 million of capital investment in our business that will go towards our plants and supporting technology. We also intend to increase our investment in marketing and professional development to further cultivate a culture of high performance at High Liner Foods. We will make this investment in our business with the confidence that we have the execution track record, supply chain capacity and balance sheet to support further efficiencies and accelerated growth. Overall, despite significant macroeconomic health and personal challenges facing us all in 2020, '21, we have a sense of optimism at High Liner Foods. Our employee health, safety and wellness remains our top priority in the year ahead as we invest in our business, elevate our culture and accelerate growth and value creation for our shareholders. In the words of our new purpose statement that you will hear much more about in the months to come, High Liner Foods is reimagining seafood to nourish life. And I'm confident that it will have a positive impact on all of our stakeholders. As consumers increasingly search for healthy versatile proteins that can nourish their lives, our products at a range of price points not only deliver but showcase the potential to enjoy seafood at home, we intend to reimagine seafood for the market. We have already demonstrated our capacity to deliver on this purpose, especially by conducting the essential work of ensuring a steady supply of frozen seafood to nourish families across North America during the pandemic. In 2021, with the heavy lifting to strengthen the foundation of our business behind us, we are all well positioned to go-to-market more aggressively, supported by significant investments in marketing, technology and our people. Overall, I am confident that we'll be able to advance our strategy to grow revenue supported by continued adjusted EBITDA gain in fiscal 2021. With that, I'll hand the call over to the operator for a brief question-and-answer period. I look forward to your questions. Operator, please start the Q&A.
Operator: [Operator Instructions]. Your first question comes from George Doumet with Scotiabank.
George Doumet: I'm not sure I might have missed this, Paul, but how much of the volume the extra week contribute to?
Paul Jewer: It's a fairly insignificant number, George. I'll have to get back to you with the exact number, but it wasn't - it was less than 1%.
George Doumet: Okay. It looks like our key species here like haddock, cod, shrimp are down materially and continue to be down for Q1 in terms of pricing. To what extent has that ultimately helped with volumes? And do you expect that to continue? Maybe a 2-parter there. And would you expect that inflation to come back to those specific species once the foodservice channel opens back up again?
Paul Jewer: Yes. I don't think at this stage, George, the pricing has helped much in the way of volumes because volumes continue to be impacted from the COVID impact in foodservice, in particular. It has certainly helped in terms of as we manage costs in our business and has allowed us to continue to price favorably in the market. In terms of - as it recovers, as demand picks up, we would expect to see potentially some increase in prices. I mean it is a commodity business, to your point, and is driven by demand and supply. But nothing significant that we're identifying at this stage. So we believe we're fortunate to continue to benefit from a favorable raw material pricing environment overall.
George Doumet: Yes. That's helpful. And maybe once the normalization of inflation comes in, just kind of wondering how confident you are that we can actually grow volumes in fiscal '21? And if we were to maybe can you talk a little bit about cadence? Is that just a function - purely a function of when foodservice reopens?
Rodney Hepponstall: Yes, George, maybe I'll take that. We've outlined, quite frankly, in Q1 of 2020, we were on a path, unfortunately, with COVID hitting the last 2 weeks of the quarter to certainly grow overall volume on a year-over-year basis for the quarter. So we feel very confident on not only our sales execution, but also on the new innovation we've brought to marketplace, and the list goes on and on. There is no question that foodservice recovery given that the scope it has in our business will have an impact. But overall, we have normalized our business as it relates to lost business. We haven't had significant losses. So we feel very confident about our ability to execute through the normal course of business. And quite frankly, maintain our position as consumers shift back from retail to foodservice. I think our retail execution has been stellar as well. And we continue to add new customers, which is great news from a new platform to sell-through, but also, we continue to penetrate existing customers with distribution gains as well as new product sell-ins.
George Doumet: Okay. And just one last one, if I may, maybe for Paul. I think the last conference call, you guys - you guys were calling out a pretty material - potential material seasonal working capital drag in the quarter. We didn't see that at all. We actually saw the other, a pretty big reversal. So just wondering what happened there, is it different in terms of plant planning this time around and maybe how should we think of working capital for fiscal '21?
Paul Jewer: Yes. No, good question, George. I think we're very pleased with our working capital performance in 2020, continuing on the back of a good performance in 2019. I think what we've seen in the business, as there has been a decline in some volume, particularly in our commodity business, we have been able to support our business with less inventory, which has been beneficial, while maintaining very, very high service levels that we're very proud of. We also have been very pleased with how receivables collections have gone. And again, because of the sales decline have less invested in terms of receivables in the business in the current environment. I don't expect to see that continue at the same pace as it did in terms of improvement in 2019 and 2020, because as we do see some of that commodity business come back, we will need, obviously, inventory and receivables to support it. But it was certainly beneficial to cash flow and debt reduction initiatives in 2020.
Operator: Your next question comes from Kyle McPhee from Cormark Securities.
Kyle McPhee: Just on the revenue line that changed year-over-year. Can you help us understand the moving parts in there a little bit better? As a starting point, I'm specifically interested in just maybe quantify the tailwind you saw in retail channel from COVID and the headwind that you saw in the foodservice channel.
Paul Jewer: Yes. So I think if you go back earlier in the year, Kyle, the extremes would have been a foodservice decline of 70% and retail boost of 60% or 70%. In - as we came towards the end of the year, it was nowhere near that extreme. So you should think of a relatively small foodservice decline, particularly in November and December. We continue to see an improving trend in foodservice really throughout the 2020 year post COVID. And in terms of retail, while up, certainly not up to the 50% or 60% level, but up in - a still double-digit growth over the prior year. And our focus really is now taking advantage of that increased traffic in the retail category and continuing with strong sales momentum there as we look forward to the recovery in foodservice.
Kyle McPhee: Got it. Okay. And taken together, those moving parts, would it still be a net negative based on the weight of these channels?
Paul Jewer: It was. Yes. I mean our - in total, our volume was down 100,000 pounds. It would have been down a bit more than that, as I mentioned, because of the - if you exclude the 53rd week. That would have been driven by a larger decline in foodservice than the benefit in retail, but that's because our foodservice business is larger than our retail business.
Kyle McPhee: Yes. Got it. Okay. And then just on the new products you've been selling into retail and foodservice. The last few quarters, you quantified that at about stand-alone isolated, it's about 2% year-over-year growth. Is that still about the same impact from this pocket of new growth products? Or has it been shrinking or hopefully accelerating?
Paul Jewer: Yes. No, it's - go ahead, Rod.
Rodney Hepponstall: Okay. No, I would - so we're in remote locations, so I apologize. No, our retail performance has remained consistent even given the challenges associated with selling in new products as customers really focused on a core assortment and tried to certainly stabilize their own inventory. So we saw a very consistent 2% growth. And we certainly think that's a great platform to build off of now that retailers are accepting of new products. And I mentioned earlier, we secured a few new customers in the states, one in Canada as well as additional listings at existing customers. So we expect that trend to tick up.
Kyle McPhee: Got it. Okay. And then my last question on the moving parts on the top line. That contract elimination from last year that's still been showing in the year-over-year trend. Is that now fully lapsed, so we're not going to see it going forward, really the only moving part left is COVID and these new growth pockets?
Paul Jewer: Yes, it has primarily lapped at this stage. There was less than 1 million pounds related to lost business in the fourth quarter, and we expect it to be lower than that in the first quarter. And obviously, it was higher than that in the - at the start of the last year.
Operator: Your next question comes from Sabahat Khan with RBC Capital Markets.
Sabahat Khan: Just want to get a little bit of color on that 500,000 additional customers that you commented on. Just, I guess, how does that compare to U.S. versus Canada? And second, how has that number trended as we progress from Q2 to Q4? Has it just - have you seen any variation on how the pandemic is trending? And anything where you're noticing the repetitive nature of those customers? Or are they new ones you're seeing quarter-to-quarter?
Rodney Hepponstall: Yes. I would say, Sabahat, number one, the 500,000 is the latest data that we had that we had paid for to secure. So my assumption would be that, that number is actually north of that as we continue to understand and read about the retail categories continuing to be on fire to name - to quote a few. That number was specifically a U.S. number. But what we have seen, even in our own portfolio in Canada is the frequency of trips to secure the seafood, i.e., High Liner product has increased from our historical 4 times a year upwards to 4-plus times a year. So we're seeing further consumer penetration in the category, new consumers coming in and the frequency of purchase increasing as well. All areas that we intend on retaining through our investment marketing, digital presence and quite frankly, continued innovation. So we feel real good about the health of the retail business category overall as well.
Sabahat Khan: All right. And then in terms of the restaurant or the foodservice market, you indicated that the institutional sites held up. I'm just curious how you've seen the, I guess, the restaurant side evolve, are there any channels within the restaurant side, any customers where maybe performance has been more resilient? Or has there been any particular channel that's been a bit more of a drag? And how is that trending as - have you seen a progress - or have you seen progress as the vaccine rollouts continue?
Rodney Hepponstall: Yes. I'm certainly optimistic about the vaccine rollout and certainly the impact that it will have regarding restrictions being lifted. If I have to suggest an area where we may have been impacted a bit more than other segments, it would be in the K-12 segment for us, the child nutrition. As we know, there's a lot more remote learning these days and so on. But what our team has done an excellent job of is navigating to other segments. You've heard me talk about revised sales execution over the last couple of years and really understanding where we have higher index versus lower index. So our virtual selling approaches have driven new customers into the foodservice portfolio as well. And not to mention, our position with the leading national broadline distributors throughout North America who are taking market share in today's environment has been a significant benefit to us as well.
Sabahat Khan: And then just on the retail side, just a follow-up on my earlier question. This additional customer base that's come into the space. I guess, are you noticing is it more because there's more meals at home? Is it easy to cook because kids are at home? What are you hearing from your customer base? I'm just trying to understand kind of the longevity of the type of customer that you have? And also, if you can maybe change your product portfolio going forward or add things to it to meet this customer - the need of this customer base?
Rodney Hepponstall: Yes. I would say the beautiful thing about what's happening with the consumer. Number one, is they're getting more comfortable preparing seafood at home, which was at one time significantly intimidating for some? But as we've talked about in previous quarters, the #2 item that consumers miss with eating out in restaurants in seafood. So we're seeing that supplemented now by those consumers who would normally have had seafood in a restaurant, going to the frozen outlet to look for products up and down the spectrum that High Liner makes. So one of the things that I'm really pleased about is our portfolio and the reach of products in the marketplace all from - all the way from value up to our premium products. So our opportunity to capture families with young children and a value proposition from a fish tick item and such all the way through to premium products like our sea cuisine and other great easy-to-prepare products like our Pan-Sear hits all demographics across the spectrum. So I think we're well positioned regardless if it's certainly Gen Zers all the way through to baby boomers and so on.
Sabahat Khan: Okay. And then the commentary around the CapEx deployment next year around $20 million, that seems to be more in the manufacturing footprint. Can you talk about maybe some of the specifics on what exactly it is that you wouldn't invest in? Is it maybe catch-up after the balance sheet is not in good shape? And kind of what's the thought process behind where you're directing that investment looking ahead?
Paul Jewer: Yes, sure, Saba. So there is some increased maintenance CapEx expense, to your point, to catch up for 2019, where we were focused on improving the balance sheet, to your point. But also in 2020 where projects got impacted by COVID. So I would say most of the increase is in that area. However, we have been pleased that we are able to identify some profit improvement projects that are included in that number for 2020 that improve the efficiency of our operations and provide us with additional capacity to support some of the products that Rod referred to that are moving particularly well in retail as we've seen that increased consumption. So it really is across the board, maintenance catch-up, profit improvement and expansion of capacity to meet the growing demand.
Sabahat Khan: Okay. And then just last one from me. I guess, with the commentary earlier around the leverage decreasing further. And I guess the - what should investors expect on the capital allocation front? Are they really just primarily focused on dividends? And how should we think about putting that additional cash flow to use as the world normalizes, your operations kind of see a bit of a tailwind from normalization?
Paul Jewer: Yes. Sure. No. I mean, at this point, we will certainly continue to support the dividend. As you know, we increased that not too long ago again, which was good. And we'll look at opportunities to do that going forward as we continue to improve our earnings performance. We've identified the increase in CapEx. We believe that there are opportunities to continue to invest in our business to improve our profitability and support our growth. And we're in a much better position today to look at whatever strategic opportunities may come along in addition to that. And so we'll keep our eyes open for those. But in the meantime, it will be supporting our business, supporting the dividend and continuing to reduce debt as we generate that excess cash flow that we've been successful at generating.
Operator: [Operator Instructions]. Your next question comes from Jonathan Lamers, BMO Capital Markets.
Jonathan Lamers: On the $20 million CapEx plan for 2021, you mentioned that's for investments in plant and supporting technology. Could you expand on these? Are those to create capacity for existing products that are moving well? Or are they to support new products?
Paul Jewer: So it's a little bit of both. So there is some investment to support, as an example, the packing end of some lines to support particular products that are moving well. But it's also to improve the efficiency of our plants across the board to support our entire product lineup. And while it is primarily focused on plant, I do want to highlight that some of it is actually in the area of technology to continue to support our business, particularly as we continue to deal with the new way of working as we look forward in supporting collaboration across our enterprise. So it's a number of areas where we've seen the opportunity to either improve efficiency or support growth.
Jonathan Lamers: Okay. And the investments in OpEx that are being made this year, do you expect a portion of those to have an impact on sales this year? And how significant would - should we be thinking about those as being from a consolidated perspective?
Paul Jewer: So just to make sure the investments that we're making in OpEx, so you're thinking of investments in operating expenses like marketing or...
Jonathan Lamers: I'm sorry. So Rod mentioned investments in marketing spend and also investments in professional development programs.
Paul Jewer: Right. Yes. So certainly, on the marketing spend piece, we would expect to see a positive impact in sales momentum, particularly as we move out of COVID and move towards the back half of the year. That's what - those marketing investments are designed to generate a return on investment. And we believe, as Rod mentioned, we can capitalize on the increased focus on and consumption in our category and continue to bring attention to the great products that we offer there.
Jonathan Lamers: And are those in retail or foodservice?
Paul Jewer: I would say it's both - across both channels. In retail, it's about continuing to communicate to those consumers, like we say, that are new to the category. In foodservice, it's continuing to communicate, particularly to the operators, how our products can help them in managing in this challenging new environment that they face as they recover from COVID in terms of staffing, operating costs, et cetera.
Jonathan Lamers: So as we think about the EBITDA guidance that was provided for improvement over 2021. Just to kind of walk through everything, it sounds like sales and gross profit dollars could be down modestly because of the challenges for the foodservice industry in the first half. OpEx will be down more following the actions that have been taken through 2020. And some potential for gross profit dollars to be up in the second half with the effect that EBITDA overall will be up for the year. Is that kind of the right way to think about it at a high level?
Paul Jewer: Yes. I think that's the right way to think about it in terms of your comments on the first half of the year, because clearly, there will be some COVID impact. Although that is, I would say, more acute in our first quarter, where we didn't have the COVID impact in 2020 and obviously do have some COVID impact in 2021. By the time we move into the second quarter, it's COVID impact lapping COVID impact and the COVID impact was pretty significant in April and May, in particular. So I'm optimistic that we can move towards both top line and bottom-line growth as we start to get into even before the first half of the year. And that will be our focus as we go forward. We believe we can continue to improve the profitability of the business. But we also now are in a much better position to support the growth in the top line.
Jonathan Lamers: But, Paul, just for housekeeping, would you happen to have the value-add - non-value add mix for Q4 and full year 2020?
Paul Jewer: I will find it here momentarily. It is up in terms of value added to 70%, yet the - for the year ended Q4 2020 versus 63% in the prior year.
Operator: And there are no further questions queued up at this time. I will turn the call back over to Rod Hepponstall for closing remarks.
Rodney Hepponstall: Thank you. To close, I want to thank you for joining our call today, and we look forward to updating you with results for the first quarter of 2021 on our next conference call in May. Please stay well and safe. Thank you.
Operator: This concludes today's conference call. You may now disconnect.